Florian Martens: Good morning, media representatives, esteemed guests, colleagues and coworkers. I would like to welcome you to the annual press conference of Infineon Technologies AG. Thank you so much for having found the time to attend today so early. All of the members of the Board and management are participating. Our CEO, Jochen Hanebeck; our Chief Financial Officer, Dr. Sven Schneider; Elke Reichart, CDSO; Andreas Urschitz, Chief Marketing Officer; Alexander Gorski, Chief Operating Officer. Mr. Hanebeck will start to give you an overview of the current fiscal year and forecast for the fiscal year that has just begun. The entire Board, of course, will be here to field any questions you may have. For all journalists, who are following us via the live stream, you're welcome to submit written questions. The question tool will be shown on your display on the screen. [Operator Instructions] So having said that, I'd like to hand the floor to Jochen Hanebeck. Please go ahead.
Jochen Hanebeck: Thank you. Esteemed members of the press, esteemed viewers. Welcome to Infineon's annual press conference here on our site in our video studio and on our live stream. We are glad you could join us. Infineon met expectations in the 2025 fiscal year despite challenging macroeconomic and geopolitical conditions. The year was characterized by prolonged weakness in the majority of our target markets and customers and distribution partners have significantly reduced their inventory levels. In view of geopolitical instability and the ongoing turbulency of tariffs, our customers are cautious about the future development of demand. This has led to last-minute ordering behavior for semiconductors. In addition, unfavorable currency effects have slowed our revenue growth for several quarters now. Given the ongoing geopolitical and tariff-related uncertainties, it is difficult to predict how strong and how broad the upturn in the semiconductor markets will be in the 2026 fiscal year. Therefore, we are adopting a prudent outlook. Our priorities at Infineon remain unchanged. Firstly, we are leveraging existing opportunities for profitable growth and are expanding our production capacities in a very targeted manner to this end. Secondly, we are making focused and forward-looking investments in future technologies and in our expertise. Thirdly, we are keeping our expenditures under control. We remain confident on our medium- to long-term development. We are making good progress on improving our cost competitiveness. At the same time, we are accelerating innovations with clear customer benefits and strengthening our position in growth markets such as software-defined vehicles and AI data centers. I'll come back to this. Infineon is well positioned for a coming market upswing. Before we look ahead, let us first take a brief look at our business development in the past fiscal year. In the fourth quarter, group revenue increased to EUR 3.943 billion. This is an increase of 6% compared to the previous quarter despite a stronger headwind due to the weaker U.S. dollar. The exchange rate rose from USD 1.14 to USD 1.17 per euro. As expected, the fourth quarter was the strongest in the 2025 fiscal year in terms of revenue. We were able to increase the segment results to EUR 717 million. This segment result margin reached 18.2% compared to 18.0% in the previous quarter. This slight improvement is mainly due to higher sales volume. This enabled us to compensate for the unfavorable currency development. For the 2025 fiscal year, revenue amounts to EUR 14.662 billion. This is a decrease of 2% compared to the 2024 fiscal year. The weaker U.S. dollar was an important factor in this development. At constant currencies, our revenue would have remained almost stable compared to the previous year. This is a respectable result for a fiscal year that was characterized by substantial inventory corrections on the part of customers and by unprecedented trade conflicts. The segment result margin reached 17.5% after 20.8% in the 2024 fiscal year. Hence, the margin was in the forecasted high teens percent range. We were able to partially offset price declines, negative currency effects and rising idle costs with positive margin effects from our structural improvement program step up. The free cash flow was minus EUR 1.051 billion. The adjusted free cash flow, which excludes investments in large front-end buildings and major acquisitions such as Marvell's Automotive Ethernet business amounted to plus EUR 1.803 billion. This corresponds to approximately 12% -- 12.3% of revenue. All 3 figures, revenue, margin and free cash flow were in the lower range of our target operating model applicable during cyclical downturns. In a world full of uncertainty, Infineon remains on course. This is primarily due to the commitment of our teams worldwide. On behalf of the entire Management Board team, I would like to thank all our employees for their strong performance. Their commitment, passion and collaboration are key to Infineon's success even and especially during challenging times. Together, we have achieved much. And together, we are also tackling the current fiscal year, creating new things and shaping the future of our company. Esteemed viewers, our dividend policy is aimed at paying out an unchanged dividend even in the event of stagnating or declining earnings. We will propose a stable dividend of EUR 0.35 per share to Infineon's shareholders at the upcoming Annual General Meeting. We want our shareholders to participate appropriately in Infineon's success. And at the same time, we want to maintain the financial leeway necessary to further develop our company for the future. By doing so, we are focused on promising growth areas, especially in the field of artificial intelligence. AI will continue to drive the structural need for semiconductors and the demand for our solutions in the coming years. AI functionalities are indeed evolving at an incredible pace. They are changing industries and penetrating all areas of life. Generative AI, which can generate images, text, code and more, is increasingly being complemented by agentic AI, artificial intelligence that can perceive, reason, plan and act. And the next big development step is already in sight. Physical AI. It enables autonomous systems, for example, cars or humanoid robots to perceive and understand the physical world and carry out complex actions. The use of AI requires enormous computing power that far exceeds the capacities of existing data centers. These requirements are increasing rapidly. Even before 2030, capacities of 1 megawatt and more per IT rack will be required. To put this into perspective, 1 megawatt is equivalent to the power of around 500 clothes irons. The large U.S. tech companies, in particular, are driving the construction of specialized AI data centers worldwide. These data centers are reaching power levels in the gigawatt range. So we're talking about the power of 500,000 irons and upwards. 1 gigawatt is roughly equivalent to the full load of a nuclear power plant reactor unit. Meta, Amazon, Alphabet and Microsoft plan to invest over USD 300 billion in AI technologies and infrastructure this year. The announced projects alone represent an estimated output of up to 10 gigawatts. More will follow suit. Power is the backbone of every AI data center. There is no AI without efficient power electronics. We supply fitting and scalable power solutions for the entire energy conversion chain from the power grid to the AI processor in the data center. Infineon is a clear leader in this field. We are also rapidly developing our range of efficient and scalable solutions at fast pace. In doing so, we are working closely with leading companies in the industry. An excellent example is our collaboration with NVIDIA in the development of a centralized 800-volt power supply architecture for future AI data centers. The new system architecture significantly improves energy-efficient power distribution in the data center and enables an even more efficient power conversion directly at the AI chip. As a technology leader, we want to shape the rapidly growing market in the coming years. The fact that our solutions address an urgent and growing demand is also reflected in our business performance. We were able to almost triple our revenues from power supply solutions for AI data centers in the 2025 fiscal year, reaching over EUR 700 million. This is around EUR 100 million more than we had forecast despite negative currency effects. We are also raising our revenue forecast for the 2026 fiscal year from EUR 1 billion to around EUR 1.5 billion, which would mean more than doubling the revenues of the previous fiscal year. We also expect dynamic medium-term growth in this area. We expect the addressable market for Infineon to reach EUR 8 billion to EUR 12 billion by the end of the decade. In addition, AI is increasingly developing beyond centralized cloud systems. Edge AI, the intelligent processing and analysis of data directly in the device or in its immediate vicinity is becoming an important driver for our business. Infineon supports developers of edge AI applications with a complete system based on our specialized microcontroller, PSoC Edge, which combines machine learning, advanced human machine interaction, low energy consumption and integrated security. Added to this are our complementary sensor portfolio and our own edge AI development platform, DEEPCRAFT. By doing so, we offer a comprehensive set of hardware and software solutions for easy implementation of AI functionalities in IoT devices. Our customers can either develop their own AI models from scratch or integrate ready-made models and solutions into their products, thereby reducing time to market. As already mentioned, we are on the verge of the next big technological step in AI evolution, physical AI. Take cars as an example. With the trend towards software-defined vehicles, the automotive industry is paving the way to a new era of mobility. Software supported by AI is at the heart of the vehicle. This enables new automated driving functions and enhanced safety features. Issues can be resolved without the need for a visit to the car repair shop simply via software updates over the air. Software-defined vehicles lead to a new level of flexibility and efficiency. However, the necessary change of vehicle architecture is complex. Conventional electric and electronic vehicle architectures with a large number of distributed control units in the vehicle will not be enough. The automotive industry is, therefore, moving towards a more centralized approach. Infineon is playing a key role in this development. We are working together closely with many customers and partners to drive the development of software-defined vehicles around the world. In addition to our system expertise, we benefit from our global market leadership in automotive semiconductors. We have consistently expanded our position in recent years. Our rapidly growing business of microcontrollers for automotive applications has contributed significantly to this development. These products are becoming increasingly important for controlling various critical vehicle functions in software-defined vehicles. We want to expand our leading position in microcontrollers for the automotive industry. The acquisition of the automotive ethernet business of the U.S. company, Marvell Technology, which we successfully completed last summer was strategically important to this end. Ethernet is a key technology in software-defined vehicles. The technology is a perfect addition to our existing product portfolio. In combination with our AURIX microcontroller, it lets us offer a comprehensive product range that includes both communication solutions and real-time control. In addition to the car, ethernet technology is also essential to promising applications in the Internet of Things, especially for humanoid robots. Esteemed viewers, Infineon is shaping the future with solutions that deliver added value to the economy and society. One technology with great potential for value creation is quantum computing, likely the next disruptive technology to follow artificial intelligence. Quantum computers use the laws of quantum mechanics to solve certain particularly complex tasks much more than -- much more efficiently and quickly than conventional computers can. This opens up completely new possibilities in various application areas from materials research to developing new drugs and optimizing supply chains. At Infineon, we have key competencies for quantum computing. Our strategic partners include Quantinuum, a company in which NVIDIA also holds a stake and IonQ, the quantum company with the highest market value at present. Together, we are now taking the technology from the lab into application, pushing the boundaries of quantum computing. I'd like to offer deeper insight by sharing voices from our partners in academia and industry. Please take a look for yourself. [Presentation]
Jochen Hanebeck: You heard it. Quantum computing is no longer a distant vision. It is becoming a reality. Quantum computing and artificial intelligence are 2 of the most exciting and forward-looking technologies of our time. Above all, their interaction promises enormous progress in areas where conventional computers are reaching their limits. These 2 key technologies reinforce each other. Firstly, artificial intelligence accelerates quantum computers by improving error correction, calibration and control of quantum hardware. This removes major hurdles to the scaling of quantum computing. At the same time, quantum computers accelerate AI by generating precise output data that serves as the basis for AI, for example, in developing new molecules for drugs, batteries and catalysts. Other potential applications range from optimization problems in logistics to cybersecurity and financial analysis. Quantum computing, therefore, does not replace AI, but rather expands its possibilities, thus opening new perspectives for data-driven innovations. And here, you can see one of our wafers with trapped ion quantum processors, which we are already developing and delivering to our lead customers. Three things are crucial for industrial-grade quantum computers, the quality of the qubits, replicability and scalability. Our quantum platform and our semiconductor production bring precisely these characteristics to the quantum ecosystem. For our customers, this means a clear path from research to application. A complete picture of quantum computing also includes a look at cybersecurity. Powerful quantum computers will be able to break established encryption methods within a few years, an enormous security risk for ID documents and payment cards for software-based devices and applications, for example, in industry, vehicles and aerospace. In particular, durable products with long development cycles are at risk. That's why we are already supporting our customers today with solutions for post-quantum cryptography based on the principle of protecting data today that must remain confidential tomorrow, so in the quantum age. And we back this up with certified security. Infineon is the first manufacturer worldwide to receive the Common Criteria certification for the implementation of a post-quantum cryptography algorithm on a security controller. Common Criteria is an internationally recognized standard that independent experts use to systematically test and certify the security of IT products. Thus, we are sending a strong signal of trust and security at the highest level. Esteemed viewers. Before moving on to our outlook for the 2026 fiscal year, a note for our guests on site. Following this press conference, we cordially invite you to visit our exhibition in the Cubis foyer. You will have the opportunity to discuss the topic of quantum computing in greater depth with our experts. Richard Kuncic, Head of our Power Switches business line; and Clemens Rössler from our Ion Trap Systems team will be happy to assist you. Many thanks to both colleagues. Now to our expectations for 2026. We continue to operate in an environment in which short-term or last-minute ordering behavior limits the transparency of demand trends. This makes predicting business development for an entire fiscal year, a challenging task. Inventories in the supply chains have largely normalized. It is end customer demand that will determine the extent and pace of the recovery in the semiconductor markets. We anticipate that the volume growth will return over the course of the fiscal year and that we will see a gradual upturn. In the current first quarter, we expect revenues of around EUR 3.6 billion. This forecast is based on an exchange rate of USD 1.15 to the euro. The segment result margin will be in the mid- to high-teen percentage range. This would correspond to a revenue decline of around 9% compared to the previous quarter, above our typical seasonality. We see a short-term risk that some automotive suppliers and manufacturers will reduce their inventories to no longer viable levels by the end of the calendar year. We also expect our industrial customers to reduce their inventories very significantly towards the end of December. However, market transparency is low. Therefore, we must consider a certain range of possible outcomes for the 2026 fiscal year. In our base case, we anticipate moderate revenue growth. The negative effects of the expected usual price declines and unfavorable currency developments are likely to slow down revenue growth. We expect a U.S. dollar to euro exchange rate of 1.15. This is a weaker dollar compared to the average exchange rate of 1.11 in the 2025 fiscal year. According to our rule of thumb, this effect will reduce our revenues by around EUR 400 million. The market environment remains mixed. We are cautious regarding the automotive semiconductor market in the view of various factors. We expect trade and tariff conflicts to have a negative impact on vehicle prices and customer demand. Growth in the electric vehicle market in China is likely to slow now that the share of electric vehicles in new car sales has exceeded 50% and government subsidies are being reduced. Momentum in Europe is likely to increase, while in the U.S., it will probably slow considerably due to the expiration of tax incentives. As a result, some Western manufacturers are postponing the launch of several new electric vehicle platforms in favor of combustion models. However, the outlook for software-defined vehicles is more favorable. We expect market momentum to accelerate from the second half of the fiscal year as increasingly more software-defined models come on to the market. This development means that more and more semiconductors are being installed in vehicles. We see a mixed picture for industrial applications. Macroeconomic uncertainty is delaying the recovery in demand for industrial drives. Similarly, there are still no signs of an upturn in air conditioning systems or household applications. In renewable energies, record levels of solar and wind energy installations are forecast for 2025, particularly in China. However, growth in this market is likely to slow down in the future. We do not expect other world regions to fully compensate for this development. Nevertheless, we see the structural semiconductor demand for the expansion of energy infrastructure is increasing. A higher share of renewable energy in the overall energy mix and investments in AI data centers in various parts of the world would necessitate a significant expansion and strengthening of the power grid. As already mentioned, we expect to more than double our revenues with our power supply solutions for AI data centers to around EUR 1.5 billion in the current fiscal year. Growth momentum in consumer-related applications is still subdued. Overall economic risks are dampening both consumer confidence and corporate spending. Thus, demand for IoT and security solutions also remains weak. Now to our profitability outlook. The segment result margin in the 2026 fiscal year is expected to come in at a high-teen percentage range. The positive effect of volume growth will be offset by unfavorable currency developments and the usual price declines. We expect further positive effects from our step-up program as an increasing number of our measures take effect. At the same time, the high level of cyclical idle costs in our production facilities is likely to proceed only very slowly. We are planning investments of around EUR 2.2 billion for the 2026 fiscal year. A focus area will be finalizing the construction of our smart power fab in Dresden and equipping it in time to meet strongly growing customer demand for AI, our AI power solutions. We are making good progress with the construction of the smart power fab. In October, we reached the ready for equipment milestone. We are ahead of our schedule and expect to be able to officially open the factory in summer 2026. Free cash flow adjusted for investments in front-end builders is expected to be around EUR 1.6 billion, and the reported free cash flow is expected to be around EUR 1.1 billion. Esteemed viewers, let me summarize. Firstly, Infineon has met expectations in the 2025 fiscal year despite challenging macroeconomic and geopolitical conditions. In the current fiscal year, we expect a gradual market recovery and moderate revenue growth. Secondly, artificial intelligence is driving semiconductor demand. Our revenue from power solutions for AI data centers is growing rapidly. We continue to develop our portfolio of efficient and scalable solutions at high speed. Thirdly, quantum computing is becoming the next potentially disruptive technology. We are shaping the quantum age with semiconductor solutions for industrial-grade quantum computing and post-quantum cryptography. Thank you for listening. Together with the Management Board team, I will now be happy to answer any questions you may have.
Florian Martens: [Operator Instructions] So let's get started. I see that we have Joachim Hofer from Handelsblatt.
Joachim Hofer: That's fine already. Your question has already been answered. I would like to know about the Nexperia case, what are the ramifications for you, for your business, either positive or negative? And I'd also like to know whether you have an opinion on whether fundamentally, this means anything for you and for the world, mainly the fact that China is expanding and perhaps what other conclusions you could draw from that.
Unknown Executive: Well, the case that has been covered in the last couple of weeks by the media and has made headlines demonstrates, first of all, once again, the realization that semiconductors are not just in time products, this applies to standard semiconductors as well as the entire other portfolio components such as power switches and the power semiconductors. In the supply chain, you need inventories in order to make sure that these 2 value creator chains of the automotive industry on the one hand and the semiconductor industry on the other hand are decoupled from each other because when such situations occur, you see what could happen. And you can also have natural catastrophes and other disasters that you have to be resistant to. So that's very important. Now what does that mean for Infineon? Well, on the one hand, production lines actually did grind to a halt, it would affect us as well because sales would therefore tank. But at the same time, you can take a different view. This could be a wake-up call to industry to take a very close look at inventories. As a matter of principle, we at Infineon are extremely resilient in our setup, thanks to our manufacturing landscape. As a result, at some areas we were able to help. However, the overlap in products between Infineon and Nexperia is rather limited. The second question, the geopolitical ramifications. Well, geopolitical environment remains the big unknown in our business. There is no blueprint that we can draw on from the past. We simply have to follow developments day in, day out. Basically speaking, however, here again, Infineon is set up quite resiliently, thanks to its manufacturing footprint, especially in Europe and Southeast Asia. We also have manufacturing partners in the United States and in China. However, having said that, this is a topic that Timon again, leads to new or can lead to new disruptions. And on a daily basis can be quite eventful.
Florian Martens: We have a question that is quite similar that comes from Mrs. [indiscernible] from Bloomberg that has come through the live stream. It also relates to Nexperia, Jochen. You have received to replace Nexperia chips? How far will you be able to do so -- have done so? How long these processes are? Please, could you answer in German?
Jochen Hanebeck: Yes, as I just said, the overlap in our portfolio between Nexperia and Infineon for the affected semiconductors. We must not forget that not all semiconductors of Nexperia were affected. It's quite limited. And therefore, here and there, we were able to help out a little bit. But basically, we also welcome the fact that apparently, the situation has eased and auto manufacturing has taken up again.
Florian Martens: I think that also answers the second question from Mr. [indiscernible] that was asked through the stream and we can, therefore, come back to the room. This is Verner from Spiegel.
Unknown Attendee: Yes, I have a follow-up question on that. In your speech, you said that you expect some automotive suppliers to reduce their inventories to a level that is no longer sustainable. And that doesn't really tie in very well. Now haven't they learned their lessons since the Nexperia crisis?
Jochen Hanebeck: Well, this is the difficulty that we face, isn't it? Some companies in the automotive supply chain are in difficult economic conditions. We also have to look at how their capital tied up due to their inventories. That is always an issue for them, and they always have to take a very close look at that. I can only call on everyone -- in difficult economic times not to let your inventories fall below critical levels because should there then be a reinvigoration of the market, and that doesn't just have to come from the automotive industry, it could come from other sectors as well, then potentially, you can run into problems, the type of which we witnessed a couple of years ago.
Florian Martens: Thank you very much, Mr. Hao. I see you raised your hand. You are from [indiscernible]. Please go ahead.
Unknown Attendee: Yes, I wanted to ask you that very question, but I have another question. You said that the auto suppliers are -- have quite tight wallet. But you say that -- of course, they have to supply the automotive manufacturers and make sure that their inventories are good. Do you see any critical situations given this situation and now the capacity underutilization of your factories, what level is it at right now? And how high were the idle costs in the past fiscal year?
Jochen Hanebeck: I will handle the first part of the question. Basically, it would be the most sensible thing if everyone involved in the value chain kept their inventories at such a level that they had a certain buffer. We do that. We have an inventory reach that is about 30 days higher than necessary, at 150 days. Normally, we would have a reach of 120 days. We're talking about EUR 1 billion in capital that is tied up in this manner. Of course, it would make a lot of sense if the Tier 1 and the OEMs were dedicated in the same manner so that such buffers could be established, which, by the way, in Japan are absolutely customary. With respect to capacity underutilization and idle costs, I'd like to hand the floor to my colleagues.
Unknown Executive: Just briefly on utilization. Right now, we are at about 80% capacity utilization. The forward-looking trend is improving, especially in the 300-millimeter sector within the scope of the gradual improvement in the market. Yes, and perhaps I can say something about the idle costs. Indeed, this is a very negative contribution to our profitability. In the past fiscal year. We're talking about just under EUR 1 billion in terms of idle costs corresponding to roughly 600 basis points, so 6% point margin headwind. We now assume that we're going to go back to about EUR 800 million, which is still quite a lot higher than the level that we normally have in terms of cyclical idle costs. This fiscal year, we're talking about 400 basis point headwind that are factored into the margin.
Florian Martens: Thank you. We would now like to switch topics. Mrs. Maier, we will get to you in a minute, but Mr. [indiscernible] has a follow-up question with respect to AI data centers, an issue that we are all concerned with and the growing market, and the EUR 8 billion to EUR 12 billion, how much is supposed to be assigned to Infineon.
Unknown Executive: Well, the starting point right now is that Infineon is already in a leading position in this market for AI data centers. Roughly speaking, we're talking about, if you look at -- along the entire power supply chain, 30% to 40% market share. Looking forward, we will do everything we can in order to stay in this range. So I think that you can do the math in terms of the potential for Infineon depending on whether we're at EUR 8 billion or EUR 12 billion. That remains to be seen.
Florian Martens: Thank you very much. Mrs. Maier, you had a question as well. We'll continue here in the studio.
Unknown Attendee: Yes, I would like to -- I'm Angela Mya, The Market NZZ. I would like to ask you about the idle costs as well. This is being stretched out over years now. Did you do your math wrong. When is the upswing going to set in, the upswing that you planned with that is? In other words, when are we going to see a margin above 20% again? Other competitors have a margin clearly above 20%, but you are still below that. And that's what you're planning for this next fiscal year indicates as well. Maybe you can give us some insight into that.
Unknown Executive: Yes, thank you for that question. Let me begin with the fundamental categorization. It is important to look at the structural growth drivers and to believe in them which we do and Mr. Hanebeck was well eloquent in his speech on addressing this. The factories are being completed right on time. We have a very good track record back then when we constructed villa 300 millimeters, we were right on track. If you look at the smart power fab in Dresden, once again, we're doing the right thing at the right time. Of course, we can't always manage to do that. But you're right, we were more optimistic 2 years ago and 3 years ago with respect to our growth prospects. But the topics surrounding the geopolitical situation and tariffs weren't known back then. What it may also be relevant in this respect is the following. We are growing this year. We are experiencing volume growth, but the growth is strongly driven by AI, we're adding capacities here. We're basically sold out in this year. We don't have any idle costs that are allocable to AI power supply. And the same applies to AI defined microcontrollers. These tasks are outsourced and that doesn't help us, and that's the reason why our idle costs aren't reducing as fast as we would like them to. With respect to the margins, I already demonstrated in the impact that, that was just the effect of the idle costs. On top of that, there's a positive effect from the fall through, revenue generates some positive results. And of course, that would put us easily above the 20% that you mentioned.
Unknown Attendee: And when is this going to happen?
Unknown Executive: Well, the markets -- when the markets play to our strengths. We depend to a certain degree on that. So final demand and inventory management are going in an opposite direction. So that's a little difficult right now.
Florian Martens: The next question also deals with a growth trend that we described, the software-defined vehicle. Matthias [indiscernible] from Blick from Switzerland asks when will the Marvell Ethernet segment contribute to revenue? And what influence will it have on the segment result margin in the future? Sven?
Sven Schneider: Yes. Well, with respect to Marvell in the middle of August, we acquired the company. So that was in 2025. There were no notable ramifications there. In 2026, we expect EUR 200 million in terms of revenue from this business, and this is a positive business in terms of profitability. So it would make a positive contribution to the group margin. And strategically, speaking, if I may add, this is extremely important because our expertise in automotive microcontrollers will be married with the technology for communication in the future. We expect wonderful synergies in terms of architecture, but also, of course, in terms of positioning our products with the customers. At a global level, I must add Marvell already has a wonderful design win pipeline that is built up over the years in the run-up to the acquisition, and we can build on that.
Florian Martens: Thank you very much. We're going to come back to the room. Christoph Dernbach from DPA.
Christoph Dernbach: Yes. I hope I didn't miss anything, but I can't remember what you might have said about the U.S. tariffs, how much they might have cost you in the past quarter and fiscal year?
Unknown Executive: Well, the direct tariffs that relate to semiconductors are not really that material. The tariffs that are really effective are the ones that are imposed by China for imports into the U.S.A., but they hardly affect us at all. And the investigation according to Section 232, the outcome of this investigation is entirely open. However, there are some indirect impacts, which you can see reflected in the sales volume figures in the United States also experienced by European players. And this does have a tangible impact on us.
Florian Martens: Okay. We'll stay in the room. Mrs. Verner has another question. Please go ahead, madam.
Unknown Attendee: I have a follow-up question with respect to the data centers that we touched on already. There are a number of wonderful announcements in Germany, for instance, Google appears to be set to make a big investment. But is that sufficient from your point of view, if you compare the EUR 300 billion that are being invested in the United States and China? Doesn't it seem to be a drop of water in the bucket. What do you believe is actually necessary in Europe to have a chance in this place?
Unknown Executive: Well, the sums announced in Europe can only be a first step. Of course, you can break things down into AI infrastructure for learning. And the inference. Of course here, the necessary infrastructure costs are lower. The question is, however, shouldn't Europe become involved in the foundational models, and I'm sorry for using English terms all the time. From where I stand, there is clearly a vector. That means we're going to run into dependencies in Europe.
Florian Martens: Okay. Maybe, Mr. Hofer, you have a follow-up question on that.
Joachim Hofer: Yes. No, not really. It doesn't really tie into that, not quite. That's okay. Your fitness program. I would like to have some more information about that. What effect has it had, if you look at headcount, it remained essentially flat. Maybe headcount increased through Marvell. Give us some insight into that, perhaps. And now in the United States, do you think you're at a disadvantage relative to domestic competitors because we do have a very strong wave of patriotism in that country. What is the situation in the United States?
Unknown Executive: Okay. With respect to the last question, we don't feel anything from this at all. To the contrary, in California, if you look at the major AI infrastructure drivers, we are a supplier that is held in high esteem, an extremely high esteem, I must say. What we are feeling is that in the geopolitical arena, the American value creation chains and the Chinese value chains are slowly separating from each other. But I believe that our esteem in AI and autos and in the future, increasingly grid infrastructure is very good.
Unknown Executive: Hope, let me answer the question that you asked about the fitness program step up. Step up to us is a program which ensures improvements in the competitiveness. From a structural point of view, we are well on track. We're actually ahead of plan. We are shooting for a sum in the high triple-digit-million-euro range, which is going to be broken down into a number of different areas, the contribution that we achieved in the [ last ] fiscal year was 50% of this figure. We believe that 2/3 of this figure will be achieved in this fiscal year and then that will be at 100% in 2027. 1/3 of the measures relate to personnel 3/4 are efficiencies, productivity improvements, digitization issues. And you asked us about headcount. You're correct. On the one hand, we have reduced headcount, but new people have joined the Infineon family through the acquisition of Marvell and some of the HR topics will be remanaged. We will move from high-wage countries to best-cost countries, but we have to build up the business in those countries first. So we will have some trickle-down effects in the next quarter.
Florian Martens: I think that the question asked by Mr. [indiscernible] in the stream has been answered as well. He is asking about further plans to reduce headcount after [indiscernible].
Unknown Executive: No, we don't have any further plans. But if we look at the market, we have to keep on monitoring the dynamics to determine what our portfolio, our product portfolio or our fab portfolio is still fitting with our goals and where we want to be in the market, but we don't have any further plans right now.
Florian Martens: Mrs. Maier, you raised your hand.
Unknown Attendee: Yes. I haven't heard anything about China today. Perhaps you could tell us once again what the revenue share was in the past fiscal year and what it's going to be like in this coming fiscal year. I think it is probably going to drop in the auto market. Will this affect Infineon in China? And perhaps you can tell us something about the momentum of competition there. The Chinese chip manufacturers are on a strong upward trend. And Infineon, nevertheless, has always managed to command a very good position on the market. Do you think you can defend it?
Unknown Executive: Mr. Urschitz will start and then maybe Sven.
Andreas Urschitz: Okay, with respect to the share of revenue generated in China, I'll start with Greater China, including Mainland China and Taiwan. In the past fiscal year, we were at a 38% share of revenue. 29% -- 29 percentage points were achieved in Mainland China. So relative to 2024, in China, we have grown in terms of revenue share. This is in part due to the Chinese leading role in decarbonization and digitization trends, very exciting markets when it comes to automotive electronics and maybe I can make a forward-looking statement here and what we plan for the future in this respect? Well, on a large scale, the share of revenue is going to be maintained in this range in 2026 as well.
Sven Schneider: Yes. And perhaps there are 2 more points that we should raise here, the 29%. About 1/3 of it goes back into exports as a car or a smartphone, for example. So here, we believe that the value chains will continue to shift. If you would ask me today about a longer-term -- or for a longer-term outlook beyond 2026, well, then I would say that this share may drop somewhat in China. Of course, there are Chinese competitors. There are applications that have existed in the past as well, which achieve price points that make no sense for us whatsoever. That's why it's all the more important for us to look at topics like AI and regions such as the United States, Korea and Japan and to build up our business there. In the past, we've been very successful at doing this. However, it is quite clear that our corporate strategy in this respect now is to have the broadest possible footprint on a global basis. A good example of this is our automotive business, which has equal shares of the markets in Europe, Japan, China. It's a little bigger in Korea, and it's a little smaller in the U.S.A. So our goal is to have a good equilibrium over all the regions that we are active in.
Florian Martens: Thank you very much to the management team for the answers. Thank you, dear colleagues and coworkers for all of the questions that you've asked. I don't see any more questions in the pipeline in the stream, and I don't see any people raising their hands here in the room. So all I can say now is thank you for attending the annual press conference. We hope that you have a wonderful strong final dash towards the end of the year. The holiday season is around the corner. We're very happy to have hosted you here. Thank you for showing interest, and have a good day. [Statements in English on this transcript were spoken by an interpreter present on the live call.]